Operator: Good day, and welcome to the Popular Inc. Second Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note today's event is being recorded. I would now like to turn the conference over to Paul Cardillo, Investor Relations Officer of Popular Inc. Please go ahead sir.
Paul Cardillo: Good morning, and thank you for joining us on today's call. With us today is our CEO, Ignacio Alvarez; our CFO, Carlos Vázquez; and our CRO, Lidio Soriano. They will review our results for the second quarter and then answer your questions. Other members of our management team will also be available during the Q&A session. Before we start, I would like to remind you that on today's call, we may make forward-looking statements that are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these forward-looking statements are set forth within today's earnings press release and are detailed in our SEC filings. You may find today's press release and our SEC filings on our web page at popular.com. I will now turn the call over to our CEO, Ignacio Alvarez.
Ignacio Alvarez: Good morning, and thank you for joining the call. I hope that you and your loved ones are healthy and staying safe. Before addressing our quarterly results, I'd first like to discuss the current business environment in Puerto Rico as outlined in the first two slides of the presentation. The pandemic and related economic disruption continues to have a significant impact on the markets we serve particularly in Puerto Rico. The strict lockdown mandated by the governor of Puerto Rico on March 15th, helped curtail the initial spread of the pandemic. As a result, starting on May 26, many of the restrictions that were in place were gradually loosened and the local economy largely reopened over the past couple of months. As the economy reopened, we had started to see a revival in business activity especially in the month of June. However, the recent surge in positive cases and hospitalization led the governor on July 16th to announce the rollback of some business and recreational activities and to impose further restrictions on inbound travel. While affecting a much smaller portion of economy than the original lockdown these restrictions will undoubtedly have a significant impact on the hotel and restaurant segment, the severity of which will depend on the length of these restrictions. Employment trends deteriorated rapidly in April and are still down significantly compared to last year, but they have begun to stabilize. The peak in unemployment claims to date in 2020 was during the first week of April. Nonfarm employment improved by nearly 5% from April to June. New auto sales had been severely impacted by the lockdown and were 49% lower in the second quarter as compared to the second quarter 2019. However, June was the best month of auto sales in the past decade and auto sales were 5% higher than the year ago period. Additionally, cement sales in the second quarter were 6% lower than last year's second quarter, but up 42% in the month of June year-over-year. Our customer spending increased as the economy reopened. While debit and credit card sales in the second quarter were down 5% compared to the year ago period, they increased 7% sequentially from the first quarter. In June alone sales were 43% higher than in June 2019. Similarly while BPPR's second quarter mortgage originations were 50% lower in the second quarter of 2019, originations for the month of June were on par with 2019 results. Tourism, however, continued to lag. Hotel occupancy bottomed in April at 4%. However, as restrictions were lifted, occupancy levels had increased to 23% by mid-June, driven primarily by internal summer tourism. Additionally, according to the Puerto Rico Tourism Company, hotel occupancy reached 78% over the three-year 4th of July weekend, 92% of which were local tourists. However, we are already seeing this positive trend reverse as a result of the recently announced restrictions. According to the operator of the San Juan International Airport, during June 2020, arrivals decreased by 67% compared to June 2019. And year-to-date through June, Puerto Rico received 46% fewer passengers than during the same period in 2019. Local and federal government continue to provide relief and assistance in response to the pandemic. The Puerto Rico government has approved $787 million in fiscal stimulus. Also, it is estimated that Puerto Rico will receive approximately $14 billion in funds under various federal stimulus program. Puerto Rico residents are inside to receive the supplemental federal unemployment benefit of $600 per week. So that benefit is currently scheduled to sunset on July 31. As a management team, we've taken measures to ensure the soundness of our operations and the safety of our employees and customers. Most of our branches are open, though some are still operating under reduced schedules. We are communicating regularly with our employees to keep them informed of the evolving health and business environment. We continue to offer alternative work arrangements for a significant portion of our employee base. We have established a return-to-work protocol to ensure a safe transition back to on-premise activity when deemed advisable. I am also happy to announce that during the quarter, we extended health care coverage to part-time employees. We remain focused on supporting our customers and enhancing their experience at Popular. We have provided broad payment relief for our consumer and commercial lending clients. We've encouraged customers to use alternative digital banking options. We've seen a 13% increase in active online users since March 2020 and surpassed one million monthly active users on our Mi Banco digital platform in Puerto Rico, a very significant milestone. Additionally in the second quarter, we captured 72% of our deposits through digital channels compared to 56% in the first quarter. Finally and most impressively, given Puerto Rico's recent demographic trends, our customer base continues to grow, increasing by 52,000 since March 2020 to nearly 1.86 million customers. Following the passage of the CARES Act, Popular secured funding approval, under the SBA's PPP program, for more than 28,000 loans, for small and medium-sized businesses, totaling over $1.4 billion, including $1.2 billion in Puerto Rico, $215 million in the Mainland United States and $29 million in the U.S. Virgin Islands. In fact, we originated 69% of all PPP loans originated to date in Puerto Rico. The businesses supported by these loans employed 278,000 persons and 73% of the loans originated were for less than $25,000. Additionally, Popular has secured more than 300,000 in Federal Home Loan Bank of New York grants to support local non-profit in small businesses in Puerto Rico and the U.S. Metro area. As we continue to respond to this rapidly changing situation, our plans and actions will continue to evolve. Please turn to slide 5. As in the first quarter, our second quarter results reflect the impact of the economic disruption caused by the pandemic. Our quarterly net income of $128 million was higher than the $34 million reported in the first quarter. However, it was down 25% from the $171 million reported in the year ago period. Second quarter results were driven by lower provisions. Revenues were down in the quarter and were partially offset by lower operating expenses. The decrease in net interest income was driven by the cumulative impact of interest rate cuts by the Fed, partially offset by the issuance of the PPP loans, lower deposit costs and the increase in our investment portfolio driven by higher deposit balances. Credit quality trends remained stable. However, the full extent of future economic disruption, as a result of the pandemic, is still uncertain. I will now hand the call over to Carlos, who will discuss the financial results in more detail.
Carlos Vázquez: Thank you, Ignacio. Good morning. Please turn to slide 6. As usual, additional information is provided in the appendix to the slide deck. Today's earnings press release details variances from the first quarter. Net interest income for the second quarter was $451 million, a decrease of $22 million from the first quarter. Non-interest income decreased by $14.6 million to $112 million in Q2, primarily driven by lower deposit service charges by $11.5 million, mainly in Puerto Rico, due to lower transaction volumes and higher deposit balances; and lower other service fees by $12.7 million as lower transaction volumes dropped debit and credit card fees by $8.6 million. Also contributing to the reduction was the elimination of certain service charges and late fees related to our response to the pandemic. These items were partially offset by, first, an increase in the net unrealized gain on equity securities of $5.2 million, related to employee deferred compensation plans. This entry has an offsetting expense in the personnel cost line. And second, a $12.6 million increase in other operating income, mostly due to a $5.6 million gain from the sale of a corporate office building. For the last couple of years, non-interest income had a quarterly run rate between $135 million and $140 million. A lot of moving parts contributed to the difference of $23 million to $28 million between this run rate and our Q2 results. But this reduction is consistent with our prior guidance of potential reduction of around $8 million per month. The speed at which we could return to more trend-like non-interest income levels will depend on the rate of reopening of our markets and the increase in client activity levels. Provision expense for the quarter, was $62 million, which is $137 million lower than in Q1. Lidio will expand later. Total operating expenses were $348 million, $24 million lower than the prior quarter. Personnel cost decreased by $7.7 million driven by lower incentive compensation, commissions and bonuses. Professional fees decreased by $8.5 million, due to lower processing and technology costs resulting from lower transactions. We also benefited from lower advisory, legal and tax & accounting expenses. OREO expenses decreased by $2.8 million, due to discontinued foreclosure activity related to the pandemic. Last quarter, we announced that in response to lower interest rates and the effect of the pandemic, we implemented various cost savings initiatives affecting personnel-related expenses, professional fees, business promotion and other operating expenses. We are on track to achieve this $55 million in savings, and thereby reiterate our expectation of average quarterly expenses for 2020 to be around $369 million. Our effective tax rate for the quarter was 16%. For the full year 2020, we currently expect our effective tax rate to be between 14% and 17%. Please turn to slide 7. In the second quarter, we saw a reduction of $22 million in net interest income. The primary driver of this decrease was the impact of lower market rates on the yields of our investment and loan portfolios. This was only partially offset by larger balances in both portfolios and lower deposit cost. The increase in balances in the investment portfolio was related to $9 billion in deposit growth. This increase in deposits was seen across all segments in Puerto Rico. Public, retail and commercial, as many of our customers benefited from Federal COVID assistance initiatives. The increase in the loan portfolio was driven by $1.4 billion in PPP loans. Our deposit costs were 34 basis points in the quarter, a reduction of 23 basis points, primarily due to the impact of lower market rates on Puerto Rico public deposits. NIM decreased by 69 basis points to 3.25% in Q2. On a taxable equivalent basis net interest margin was 3.56%, a decrease of 78 basis points. This lower NIM is mainly related to three factors. First, the impact of our loan and investment yields, on the federal funds rates decreasing 150 basis points in mid-March. Second, the significant increase in average deposits, which are mostly invested in our night fed funds and in short-term U.S. treasury securities. And finally, the origination of $1.4 billion in PPP loans, this asset although accretive to net interest income and with an attractive risk-adjusted return are low-yielding and resulted in a compression in net interest margin. We expect margin for the rest of 2020 to be steady but slightly improving from the second quarter level. This outlook is very dependent on asset mix, loan demand and deposit levels. As of the end of the second quarter, Puerto Rico public deposits were roughly $14 billion, about $4 billion higher than in Q1. We expect public deposit balances to come down over the long term, but additional COVID-related federal assistance, as well as the impact of seasonal tax collections will probably lead to increased balances in the near term. The rate of expenditure of these funds and the timing of agreements on the government's debt restructuring will dictate the amount and timetable of any balance reduction. Our average loan balances grew by $835 million in the quarter. This growth was primarily driven by lower-yielding PPP loans partially offset by lower levels of higher-yielding consumer balances at BPPR. In the month of June, we have seen strong rebound in demand in mortgage, auto loans and other leases, while demand and balances in our higher-yielding personal loan and credit card portfolios continue to show net repayment and lower demand. The level of loan balances for the rest of 2020 will depend on the duration of the PPP loans and the performance of the economy. As such we are not providing loan balance guidance at this time. Please turn to Slide 8. Our capital levels remain strong relative to mainland peers as well with respect to well-capitalized regulatory requirements. As you may recall on January 30th of this year, we entered into an accelerated share repurchase agreement for $500 million of common stock which was completed on May 27. Popular received 11.8 million shares at $42.30 per share. Our common equity Tier 1 ratio in Q2 was 15.7% down from 15.8%. The capital simplification rules effective April 1, 2020 reduced CET1 by 48 basis points. Tangible book value increased in the quarter by almost $4 per share to $60.13. This increase was driven by our quarterly net income, higher realized gains on investment and a lower share count offset somewhat by dividend payments. In this slide, we repeat an update of the calculation of our pro forma capital ratios applying the loss ratio of our last published DFAST severely adverse stress test from 2017. In this relation we still end up with a very strong CET1 ratio of 14.5%. These results reflect Popular's robust capital position. For the second quarter of 2020, our allowance for credit losses represent 52% of our severely adverse DFAST loss estimate. Our return average tangible equity was 11.2% in the second quarter. We will continue to pursue our target of double-digit return on tangible. While Popular is not required to run or publish regulatory stress test for the last few years, we have completed our stress test in the summer, developed our capital plan during the third quarter and upon approval of our Board of Directors engaged with regulators on capital discussions in the last quarter of the year. This process have allowed us to disclose our capital plans for the upcoming year early in the first quarter of that year. We now expect that this timetable will be delayed by one quarter. As a result we expect to engage in capital discussions with our regulators early next year. We then will make capital-related announcements in the second quarter of 2021. With that, I turn the call over to Lidio.
Lidio Soriano: Thank you, Carlos, and good morning. Before discussing the CECL impacts and credit trends for the quarter, I would like to take the opportunity to highlight changes in Popular's credit risk profile since the global financial crisis which you can see on Slide number 9. Also one might be tempted to view Popular based on the last crisis in 2008. We are a different company with a stronger balance sheet and more conservative risk profile. In the U.S. we shifted from being a lender with significant subprime and construction exposures to a community and niche lender with a lower risk profile. In Puerto Rico, we also shifted our commercial mix to segments with lower losses and collateralized consumer loans, mortgage and auto. We believe Popular is well positioned to operate successfully during diverse economic environment given our improved risk profile and changes in our portfolio mix. Turning to slide number 10. We are monitoring the impact of the COVID-19 crisis on our entire loan portfolio, yet certain portfolio segments are more sensitive and are highlighted on this slide. Within the CRE non-retail segment, the exposure in Puerto Rico is mainly comprised of office space, while the exposure in the U.S. is mainly comprised of multi-family. Office space and multi-family occupancy and collections have remained stable throughout the pandemic. Today, there have been limited numbers of downgrades in this segment. The level of deferrals mainly relates to customers' liquidity strategies. In the health care facilities segment, our Puerto Rico exposure is mainly to hospitals, while our U.S. exposure is to skilled nursing facility. For both regions, federal and local assistance has supported the industry operation. Today there have been a limited number of deferral requests and downgrades in this portfolio. Within non-essential retail, the shelter-in-place orders have curtailed the activity of this segment. As a result, we have experienced a significant number of deferrals and have downgraded most within the past-rated category 23% of the portfolio. Based on our surveys, occupancy has remained stable compared to pre-COVID levels. Strip malls reported an 86% occupancy and 82% collection rate, while shopping centers reported an 86% occupancy and 64% collection rate. An important part of our shopping centers portfolio in both regions are owned by long-term customers with financially strong principles that can withstand short-term disruption in cash flow. Regarding auto retail in Puerto Rico, this activity was subject to the lockdown order and sales decreased significantly. Upon the authorization to resume sales, the segment reported record sales in June with over 10,000 new units sold. Popular historically has had low losses in the dealer segment even during prolonged periods of decreased auto sales given the collateralized nature of these loans. Regarding the construction segment, most of our exposure is in the U.S. and principally in the New York Metro region. The majority of our projects are in the late-stage of completion, have low loan-to-cost and nominal exposure to higher-end residential. To-date, there have been a limited number of deferral requests and downgrades in this portfolio. Our hotel exposure is mostly in Puerto Rico. At the end of the quarter, our total exposure stood at $368 million. This segment has experienced elevated levels of stress due to travel restrictions. This segment has started to reopen gradually as part of the government's reopening plan prior to the imposition of the renewed restriction on the use of beaches and hotel common areas. Puerto Rico will not resume promotion of the destination until August 15. To-date, we have had a significant number of deferrals and downgrades mostly within the past category in this portfolio. Restaurant balances were $359 million at quarter end. This segment has experienced stress driven by the shelter-in-place orders. Through the lockdown orders, the majority of our restaurant borrowers particularly quick service or fast food have continued to operate through delivery and carry out. As part of the government's four-phase reopening plants, restaurants were allowed to operate first with 25% capacity, then 50%, then 75% and recently went back to 50%. Once the economy fully reopens, we expect this segment to rebound at a faster pace, especially the quick service restaurants. To-date we have had a significant number of deferrals and downgrades within the past category. To finalize, let me also discuss the segments to which we are not exposed to. We do not have material current exposure to energy, airlines or shared national credits. Turning to slide number 11. We have continued to provide relief to our customer through loan modifications either deferrals, forbearance or extensions. New requests for modifications have declined 97% from their peak in April. We have granted assistance to approximately 116,000 customer accounts, representing $3.9 billion of loans and 27% of total balance. Of the accounts modified a significant percentage 35% continue to make at least one payment, while in the forbearance period. Please turn to slide number 12 to discuss credit metrics. Non-performing assets decreased by $22 million to $881 million this quarter, mainly driven by an OREO decrease of $10 million, coupled with a non-performing loan decrease of $8 million. The decrease in NPLs was in Puerto Rico, driven by the mortgage and auto portfolio. The OREO decrease was driven by the resumption of sales activity. At the end of the quarter, the ratio of NPLs to total loans held in portfolio was 2.6%, compared to 2.8% in the previous quarter. Please turn to slide number 13 to discuss NPL inflows. Compared to the first quarter NPL inflows excluding consumer loans increased by, $21 million, driven by increases of $9 million in the Puerto Rico commercial portfolio, and $7 million in the Puerto Rico mortgage portfolio. The increase in Puerto Rico commercial portfolio was mainly driven by a single relationship, which will get more clarity, on the behavior of NPL inflows in the third quarter, now that we have restarted collection activities that have been suspended since March. In the U.S. inflows to NPLs increased by $5 million mainly driven by higher mortgage inflows. Turning to slide number14, net charge-offs amounted to $65 million or annualized 92 basis points of average loans held in portfolio compared to $63 million or 91 basis points in the previous quarter. The corporation allowance for credit losses remained relatively flat from the prior quarter, at $918 million. The ratio of allowance for credit losses to loans held in portfolio was 3.2% in the second quarter, compared to 3.3% in the prior quarter. The ratio of the allowance for credit losses to NPLs held in portfolio was 121%, compared to 120% in the first quarter. The provision for credit losses decreased by, $126 million to $63 million mainly driven by the pandemic impact on the macroeconomic scenarios. Please turn to slide number 15 to discuss details, on the drivers of the variance in allowance for credit losses. We adopted CECL, on January 1st 2020. Since implementation, our allowance for credit losses related to loans has increased by $441 million or 92%, driven by the day one adoption impact, changes to macroeconomic scenarios and on portfolio changes. At the end of the second quarter, the allowance for credit losses remained essentially flat when compared to the first quarter of 2020. Variances were driven by the economic outlook, changes to portfolio balances and portfolio credit quality. In the first quarter Popular opted to use, the March 27th, Moody's Analytics S3 scenario which was more severe than the baseline scenario that Moody had at a time. We felt, that the first quarter S3 scenario was more representative of the economic forecast. For the second quarter, we used Moody's baseline scenario, as we believe it has now caught up with what most economies are expecting in terms of the impact of the pandemic. Although, the path of economic variables is different than the first quarter S3 scenario, the magnitude of competitive changes in variable is comparable to the Moody's second quarter baseline scenario, which we use for our ACL calculation. The change in macroeconomic scenario costs the ACL to decrease by $23 million. As discussed by Carlos and Ignacio, portfolio balances increased by $1.4 billion, mainly driven by portfolios insured by the U.S. government. And thus had no ACL impact, mainly PPP loans and Ginnie Mae loans, subject to repurchase options. Excluding this, loan balances decreased by $287 million driven by consumer loans, causing a reduction in ACL of $17 million. During the quarter, we downgraded approximately $190 million to substandard or worse. The downwards net charge-off and other changes to ACL caused the ACL to increase, by $130 million. To summarize, our loan portfolio exhibited stable credit quality metrics during the second quarter. However, the effects of the pandemic continue to change and the full extent of economic disruption is uncertain. The improvements over the last few years in the risk profile of our loan portfolio position Popular to successfully operate on the challenging environment. Management will continue to carefully monitor the exposure of the portfolio to pandemic-related risk, changes in economic outlook and how delinquencies and net charge-off evolved after the period of payment deferral lapses. With that, I would like to turn the call over to Ignacio for his concluding remarks.
Ignacio Alvarez: Thank you, Lidio and Carlos for your update. After 126 years in the banking business, we know success requires that we act quickly and decisively putting people first. I want to express my gratitude to our employees for their commitment to serve our customers and their creativity and ability to adapt to a rapidly changing situation. We continue to support the communities we serve through these difficult times by providing payment deferrals to more than 116,000 customers and also provided assistance to the health care professionals and non-profit organizations as they battle the pandemic. I would also like to thank our customers for their continued trust and for adapting to this new reality. They have accelerated their adoption of digital channels. Our market-leading digital offering in Puerto Rico helped us surpass an important milestone more than one million active users on our digital banking platform. We are aware that there remains much uncertainty as to the future of the economy. Economic performance will continue to be tied to developments on the health front which are very difficult to predict. If the health situation deteriorates leading to a new round of restrictions on businesses, this will obviously hamper the economic recovery. However, the strength of our balance sheet levels of capital and liquidity place us in a strong position to continue to serve our clients and whether the challenges that may lie ahead. We are now ready to answer your questions. Thank you.
Operator: Thank you. [Operator Instructions] And today's first question comes from Arren Cyganovich with Citi. Please go ahead.
Arren Cyganovich: Thanks. I was wondering if you could just talk a little bit more about the decision to change your Moody's scenario that you used. I know you addressed it somewhat in your prepared remarks that it looks like the total economic in the new baseline is a little worse, but the recovery happens a lot earlier. I'm just curious as to why not stick with the more of a double-dip recession that you previously had?
Lidio Soriano: Yes. Well we -- based when we were down -- doing the first quarter scenarios, we felt that Moody's was playing catch up. They had not adjusted their scenarios rapidly enough to the rapidly changing situation. When we shut down for the second quarter as we mentioned, we -- our view was different. I think they have for the most part catch up. And I will characterize the second quarter scenario as being an elongated U type of recovery in which growth happens much later into -- our growth happen much later than 2021. I think as we mentioned in the prepared remarks, both I think scenarios are similar in terms of cumulative impact to the main economic variables although in the past different from one to the other.
Arren Cyganovich: Okay. And on the deposit growth that you had obviously some boost from the public deposits. But in general the large level that has occurred, how much of that do you view as somewhat temporary and would -- you wouldn't be able to really deploy that into higher earning assets?
Ignacio Alvarez: Well I think it's -- obviously we've had trouble predicting the public deposits in the past and I hesitate to predict how they're going to be deploying in the future. But generally, we've seen a lot of liquidity in the system from the federal stimulus payments as opposed to like hurricane relief many of these payments went directly to people. So between the $1,200 and the unemployment benefits there's been a lot of liquidity going through the system. The PPP loans put a lot of liquidity into the system. We -- it's hard for us to predict. Some of that money will -- obviously will be spent. Some of it will come back with us and goes off island obviously when you consume things off island. I think it's very difficult yet for us to get a good handle on those flows at this time. So and the return for taking risk and going out longer is not very attractive at this time. So we're trying to get a better feel before we make fundamental changes in our investment approach.
Arren Cyganovich: Okay. And then lastly, the growth in card volume was pretty astounding in June. I think you said it was up about 42% or 43%.
A – Ignacio Alvarez : 43%.
Arren Cyganovich: Was that really just pent-up demand because of the lockdown? What was driving the really strong growth there?
A – Ignacio Alvarez : I mean it's hard to pin one thing. But obviously there was pent-up demand. People were locked up in their houses. I think we saw some of that in China when in the first coronavirus when people got out for the first time they started spending. Also they've got money in their pockets. I mean again, I don't want unnecessary [ph] a lot of people in Puerto Rico that were making minimum wage or close to minimum wage were getting checks of $5000 and $6000 on unemployment. Yes, they were getting $600 a week, but they were getting the checks were delayed in many states. And by the time they got the checks it was retroactive. They were really getting checks of $5000 something they would never have in their lives. So a lot of money in the system there's pent-up demand. And I think consumer demand picked up faster than we actually anticipated. People started going back to restaurants to stores. So we'll have to see how this recent surge affects that. But I think the consumer came back a lot faster than I would have thought.
Arren Cyganovich: Okay. Thank you.
A – Ignacio Alvarez : Thanks.
Operator: Our next question today comes from Alex Twerdahl with Piper Sandler. Please go ahead.
Q – Alex Twerdahl: Good morning. 
A – Ignacio Alvarez : Good morning.
Q – Alex Twerdahl: Just wondering maybe if you can give us a little bit more color on the downgrades that you guys did during this quarter and the reserve that was associated with them. And I guess what I'm trying to figure out is when you do the downgrades what assumptions were you making about the economy where we are you at the point where things are trying to reopen and the expectation was that they're going to remain opened, or is there a slightly more pessimistic view taken especially in some of like the hotels and the restaurants and some of the higher downgraded buckets?
A – Lidio Soriano: I think as I also mentioned in the prepared remarks most of the downwards that we compared during the quarter were in the -- within the past category. However, having said that there were certain segments in which given the information that we had available for us, given the prospect of the industry we did downgrade to substandard or worse. We mentioned that we downgraded about $200 million -- $190 million to substandard or worse. As we always do we take into account, how the company is doing the prospect for the company on a going-forward basis. The ability to withstand further disruption caused by the pandemic, but we're not making adjustment in terms of the economic outlook. We think that things are pretty uncertain. But it's more based on the current ability of the organization to withstand further crisis and the liquidity position.
Q – Alex Twerdahl: Okay. Thanks for that. And then one topic that I think a lot of us on the call have been following and maybe haven't gotten that much information on is kind of this idea that pharmaceutical manufacturing which is already a huge part of the economy in Puerto Rico, could grow even further based on some repatriation of medical device and pharmaceutical manufacturing away from other parts of the world. On the ground is there more that you can kind of give us in terms of sort of what's going on in capacity in the space things like that or any other bills? I know we've seen one kind of circulating any other bills that are being talked about that could be helpful for people trying to figure out how much water left thesis can hold.
A – Ignacio Alvarez: Well like you said there's a number of bills going on Congress. There's a number of people of the administration who have proposed the idea of making Puerto Rico a source of pharmaceutical strength for the U.S. This is a good opportunity for the island. I think that I believe that things have worked in our favor, but the impact will be more gradual. I think that -- I think we'll have a better chance of not losing new production lines and bringing new production lines to Puerto Rico. Obviously, with the concern about logistics and the continuing warfare with China it's going to change the world. So, the question is how much -- and they're obviously going to be shifting production from China and other places closer to the U.S. and I think some will be within the United States. I think Puerto Rico will get a shot. But most of what I've seen so far is anecdotal except that last week -- or actually at the beginning of this week and not a pharmaceutical because I think you have to keep in mind there's two things that are going to benefit from this the pharmaceutical and the medical device. Medical devices are very important. People lump them together sometimes, so it's a very important category. CooperVision which is a very large operation in the southern part of the island announced that it's going to make a major expansion. So, that was announced at the beginning of the week. So, anecdotally, I've seen good things. I really -- I don't have more concrete information to give you.
Alex Twerdahl: That's helpful. Thanks for taking my questions.
Ignacio Alvarez: Thanks Alex.
Operator: Our next question today comes from Joe Gladue with Alden Securities. Please go ahead.
Joe Gladue: Hey good afternoon.
Joe Gladue: Hey Joe.
Joe Gladue: Just a couple of quick ones. Just regarding the PPP loans just wondering what your guess or assumptions are as to when forgiveness starts to come through and when most of that has completed this?
Ignacio Alvarez: I think our assumption -- and I have -- it's going to be that most of our clients are going to try to get the loan from what we've talked to our clients most are going to go for 100% forgiveness. So, I think as soon as the SBA comes out with a clear guideline to how you do that I think it's going to happen within the next -- they've extended the period you can use the funds to now 24 weeks. So, I think it will happen by the third quarter -- end of the year at least. I would say end of the year.
Carlos Vázquez: It's a good chance a significant part of all the portfolio will be gone by the end of the year.
Ignacio Alvarez: Yes. So…
Joe Gladue: All right. I just -- I know you've touched on it both in the prepared remarks and in some of the past questions. But the liquidity and the deposits on the balance sheet a lot of that is some of the PPP funds and such. Have you gotten any -- in the last month or two any insight in the -- just is that coming off gradually, or do you think that's going to come off more in chunks, or just any insight you might have so far in the -- to what you're seeing as how those funds are being drawn down?
Carlos Vázquez: No, I'm not sure there is a lot of clarity Joe. Some of the expenditures by the government will be in big chunks. But what ends up happening with a lot of those big chunks is they move from a government account at the bank to individual or corporate accounts at the bank. So, we do recapture some of that. So, while there may be a big chunk of funds transferred in assistance, for example, by the government, you may not see the same effect in drop in our overall deposits because it just moves to other deposit accounts. So, it's hard to get a handle of it. The government has taken a long time to actually start disbursing the assistance money. So, a lot of that money is very new getting to people in the last month or so. So, it's very early days. Hopefully we'll have more clarity by the end of the third quarter.
Ignacio Alvarez: Yes, I think a lot on the private deposits is going to depend on what the new federal stimulus package looks like. A lot of people have a lot of liquidity if they have to start using that liquidity and the unemployment benefits run out or go down substantially or there's not a new PPP program or it's not extended the businesses that got that liquidity will have to use it and has done a replacement for it. So, I think a lot of it's also going to depend on this next stimulus program.
Joe Gladue: Okay. All right. Last question. I appreciate the information on the PPP loans that went to some of your sensitive lending segments. Just ask one additional detail on that. Do you have a sense of how many -- or what percentage of the deferrals the borrowers benefited from some of the government programs PPP in particular?
Ignacio Alvarez: I don't think, we -- do we have that? No, no he wants to know what percentage of our clients in the deferral programs obtained PPP loans, do we have that?
Lidio Soriano: I don't have that information.
Carlos Vázquez: Sorry we didn't...
Lidio Soriano: I don't think we have that...
Ignacio Alvarez: Let's take that question another time.
Lidio Soriano: Yes. We'll -- maybe we'll incorporate it next time in the sensitive segment slide. Thank you for the feedback.
Joe Gladue: All right. Well, thank you.
Lidio Soriano: Thank you.
Operator: And our next question today comes from Glen Manna with Keefe Bruyette & Woods. Please go ahead.
Glen Manna: Hi, good morning.
Lidio Soriano: Good morning. How are you Glen?
Glen Manna: Good. Thanks Lidio. Carlos, thank you for the detailed information on the NIM. Just if I could follow-up is it -- could you break out the part of the NIM move that was attributed to rates, the excess liquidity and then the PPP loans this quarter basically the 79 basis point drop in the FTA? And also with respect to the PPP loans, given your prior comments that your anticipation is that 100% could be forgiven by the end of the year. What rate did you use on those loans for the current quarter?
Carlos Vázquez: The -- as far as breaking up the drop, it's very hard to do Glenn because you have to make assumptions as far as where the additional funding on the new funding was invested. So there's a gazillion assumptions you have to make to answer your question, your very good question intelligently from our part. We have taken a shot at that and our estimate at this point in time is that roughly big picture, two-thirds of the drop in NIM was a result of the change in mix and the increase in the balance sheet. And the other one-third roughly was linked to rates or asset mix or other things. So, it's roughly two-thirds, one-third. Again depending on your assumptions you can call out with a different number, but that's the best we could do. As far as the PPP the yield that we have on is 2.50...
Lidio Soriano: 2 85.
Carlos Vázquez: 2 55?
Lidio Soriano: 2 85.
Carlos Vázquez: 2 85 Glen.
Glen Manna: Okay. And then, just qualitative and maybe this is a big picture across the industry, but given the rapidity of the moves from the fed, do you think this cycle that NIMs reached trough levels a little bit sooner than they did in the last cycle? And I know, you gave your guidance was for stable to maybe slightly up in the back half of the year and some of that could be from PPP loans rolling off. But just like longer-term and maybe just qualitatively, I'd like to hear your thoughts on that.
Carlos Vázquez: Yes. I mean that will really be a very bank-specific situation. For example, we have been -- as you saw in the results, we have been successful in moving our deposit cost down. But we -- in an environment like the one we have with significant uncertainty, we tend to be also cautious in the way that we're doing that. There may be other banks that are being a lot more aggressive on the way they approach the reduction in deposit cost. So that's one consideration. The other consideration depending on your deposit book your -- the lag, the effect -- the lag in the -- when the drop in rates gets flowed through your deposit book may be different. Not all our deposit rates went down on March 1. So the full effect of the drop in rate will affect part of the second quarter not the whole second quarter. So, hopefully we'll benefit from a slightly -- more of that in the third quarter. So, very bank specific, I would assume. And within -- by the end of the third quarter, most people will have seen a lot of the effect. In our case, as you know, the NIM varies more because of other things like asset mix and deposit levels than it does because of rates. So in our case there may be -- the drivers are somewhat different.
Glen Manna: Okay. And then if I may just one for Lidio. Thank you for the information on the deferrals. I noticed in the press release that you said deferrals were going to start to roll off in July through September. I guess we're a month through July now, what are you seeing on re-deferral rates from customers and also maybe if you could just highlight some of the differences in deferral policies on the island versus those on the mainland?
Lidio Soriano: I would say a couple of things. The first thing you asked I mean, I don't have up-to-date information to provide you in terms of re-deferral rates for some of our customers. So we will provide details to the market on our next webcast. In terms of some of the differences, I think to a certain extent – there are two things that I would say. I mean we have gone through crisis in the past and we have offered deferral programs to customer to the whole island before. So they're used to having deferral programs and taking advantage of it. The other item that I will say particularly related to our commercial portfolio, in the U.S. banking industry you have seen a lot of line utilization as part of our customer liquidity strategies. In Puerto Rico, we haven't really seen that. What they have done is use deferral programs as part of their liquidity strategy. So rather than hitting the line they have used deferrals to just keep cash within their operation.
Ignacio Alvarez: Yes. I would add then – this is Ignacio. I would add then on the consumer front as opposed to most U.S. jurisdictions, in Puerto Rico there were mandated deferrals for consumer products beyond mortgage. I know some jurisdictions had mortgage relief and the CARES Act, obviously had mortgage relief. But basically in Puerto Rico, we had mandated moratoriums and deferrals for all consumer products. All the client had to do was basically state that he had been impacted by the pandemic with no further evidence. So that's a major substantive difference.
Glen Manna: Okay. Thank you very much for taking my question.
Ignacio Alvarez: Thank you.
Operator: [Operator Instructions] Today's next question comes from Gerard Cassidy with RBC Capital Markets. Please go ahead.
Gerard Cassidy: Thank you. Good morning, Ignacio and Carlos, how are you?
Ignacio Alvarez: Good morning.
Carlos Vázquez: Fine. How are you doing?
Gerard Cassidy: Good. I got a couple of questions. Clearly you talked about the outlook on the Moody's economic forecast, which of course influences the provision for loan losses, particularly with CECL now. If we continue to see a stable outlook for the economy according to Moody's and whatever you adjust for your own overlay, should the provision for loan losses essentially then be just the provisions you need for maybe some reratings that go on within the portfolio and loan growth and therefore, we won't possibly see elevated provisions going forward?
Carlos Vázquez: Assuming – and that is a big assumption a stable economic forecast I think what you said makes sense. Yes.
Gerard Cassidy: Okay. I know that's a big assumption.
Carlos Vázquez: Yes. It will be loan growth charge-offs and change in mix and downgrades.
Gerard Cassidy: But the charge-offs, you wouldn't have to replace since you've already said – assuming they go according to your internal plan on what charge-offs should be.
Carlos Vázquez: Only if we grow the book in at the same time.
Gerard Cassidy: Okay. And then second question was in the deferral programs that you guys gave us the detail on, when you look at the nonessential retail and hotel properties that are in deferral, what's the typical loan-to-value for those types of properties?
Lidio Soriano: I would say, I mean, we typically underwrite loans to 70%, 75% loan-to-value. Guessing value today, I don't know. So it's difficult for me to tell you what are the current loan-to-values because I don't know what is the value equation today. But typically we underwrite 70%, 75%.
Gerard Cassidy: I see. And then lastly, I don't know, if you guys have talked to the New York Fed, but do you get any sense from the fed when their support of the deferral programs, where you don't have to reclassify those loans when that support will be eliminated? Any idea when that may happen?
Ignacio Alvarez: They haven't communicated. I think their communications are basically the industry-wide communications that they've given out. I think, they've been – I think they've been pretty open and clear that you have to have customers within the reasonable and prudent parameters. I don't see any pressure coming from the Fed in that area.
Gerard Cassidy: I see. And then, I guess just as a follow-up to that. Through, the end of the year, when the accountants have to sign off on SEC documents, if the deferral program is still in place for all the banks not just you guys, and the fed is still supportive, is there any potential kind of conflicts with the accountants and the SEC versus the regulators on deferral loans?
Jorge Garcia: Hi, good morning. This is Jorge Garcia. I mean, the regulatory – and the SEC have kind of come together in adding clarity. They haven't suspended any of the accounting rules. So we're still subject to evaluating the TDRs et cetera, and that's really where you would – that's the risk where you have to classify these as troubled debt restructuring. But I don't expect the conflict. I think the information that's out there now is just converging and clarifying how to apply it. And certainly, we're complying with that.
Ignacio Alvarez: Yeah. And again, the deferral programs are not being generally extended to the end of the year. They have come to an end. Obviously, the CARES Act is federally mandated for mortgages and we'll follow that. But other than the CARES Act, most – most broad uniform deferral programs have now expired.
Gerard Cassidy: I see. All right. Thank you, guys.
Ignacio Alvarez: Thank you.
Operator: And ladies and gentlemen, this concludes the question-and-answer session. I'd like to turn the conference back over to the management team for any final remarks.
Ignacio Alvarez: Thank you for joining us today, and for your questions. Please continue to focus on your health and be diligent about your safety. That's the most important thing. We look forward to sharing our results for the third quarter in October. Take care.
Operator: Thank you, sir. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.